Operator: Good day, ladies and gentlemen, and welcome to the Q3 2018 Allegiant Travel Company Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will host a question-and-answer session and our instructions will be given at that time. As a reminder, this conference call may be recorded. It is now pleasure to hand the conference over to Mr. Chris Allen, Investor Relations. Sir, you may proceed.
Christopher Allen - Allegiant Travel Co.: Thank you. Welcome to Allegiant Travel Company's third quarter 2018 earnings call. On the call with me today are Maury Gallagher, the company's Chairman and Chief Executive Officer; and John Redmond, the company's President; Scott Sheldon, our Chief Financial Officer and Chief Operating Officer; Drew Wells, our VP of Revenue & Planning; and a handful of others to help answer your questions. We will start with some commentary and then open it up to questions. The company's comments today will contain forward-looking statements concerning our future performance and strategic plan. Various risk factors could cause the underlying assumptions of these statements and our actual results to differ materially from those expressed or implied by our forward-looking statements. These risk factors and others are more fully disclosed in our filings with the SEC. Any forward-looking statements are based on information available to us today and we undertake no obligation to update publicly any forward-looking statements whether as a result of future events, new information or otherwise. The company cautions investors not to place undue reliance on forward-looking statements, which may be based on assumptions and events that do not materialize. To view this earnings release, as well as a rebroadcast of this call, feel free to visit the company's Investor Relations site at ir.allegiantair.com. With that, I'd like to turn it over to John.
John T. Redmond - Allegiant Travel Co.: Thank you, Chris, and of course, good afternoon, everyone. So, when I read through the release again and read the opening part of that and of course Maury's comments in particular, all I can say is wow, what an impressive quarter and an impressive year-to-date. It really has been special. Starting with the fleet transition with the MD-80s coming out after Thanksgiving, that has gone off without a significant problem other than a few induction issues back in early July. Such a transition is unprecedented, of course, for a company of our size especially given the timeframe of accomplishment. Of course, transitions put a focus on the movement of planes in and out, but one can't overlook the significant hiring and training that impacts so many departments and individuals. So, incredible job by the entire team across the board. Of course, while all of that was taking place, the performance of the airline has improved beyond any of your expectations but in line with our high standards. The same incredible effort that went into the fleet transition and performance improvement is now being directed to rightsizing the organization as we move into 2019 and beyond. Of course, from time to time, I read some of the reports and I read some of the naysayers out there, those times when any of you doubt the company and its employees' ability or dedication to do something just reflect on what's been accomplished over the last 18 months. The foundation has now, of course, been set for Allegiant 2.0. Part of that foundation work in 2018 has been in our IT area which is critical to what we do. Very key management personnel have been added, organizational changes made and business processes reinvented. All the programming effort relating to the 2020 revenue initiatives laid out in the Investor Day back in 2016 will be substantially completed by the end of 2019, with the full benefits expected to be realized in 2020. Touch base a little bit on Sunseeker, of course we provided complete visibility on Sunseeker during the recent Investor Day, so nothing new to report. But wanted to touch on a couple of points given the frequent questions I get from time to time. We expect to have a marketing and preview center opened on site by the end of January 2019, so just in a couple of months. We expect vertical construction to begin in February of 2019 but the targeted opening around October of 2020. Again, these dates have all been previously communicated. Our model rooms are currently being built here in Las Vegas at our company headquarters. We're building a standard hotel guest room and a two-bedroom suite which should be completed by December 15. So, whenever any of you are in town after that date, we'd love to show you this product. Quickly, I want to touch base on disclosures and guidance. We expect to provide full 2019 guidance in conjunction with our 2018 year-end earnings release. Guidance will be provided consistent with that provided for 2018 with the added guidance disclosures for non-airline businesses. Again, you saw that in the current release, and we will continue with that. So, for the first time, we provided this non-airline disclosure in the release and I hope you find that worthwhile in your analysis of our business model going forward. With regard to the non-airline businesses, we will provide 2019 guidance for preopening expenses rather than operating results for the going concern businesses and CapEx. In addition, we will provide actuals at the end of each quarter and year-to-date similar to what we have just disclosed. And on that, I'll turn it over to Drew.
Drew Wells - Allegiant Travel Co.: Thank you, John and good afternoon, everyone. We continue to be pleased with load factor performance as we continued year-over-year expansion for the fourth consecutive quarter. In August, we announced eight new routes including service to three new cities Albany, New York; St. George, Utah; and Tucson, Arizona, bringing our total scheduled service airport served to 121. In the third quarter, we recorded a TRASM of negative 0.2 cents including the impact of new revenue recognition rules. I believe it's important to note that we were not involved in the heavily discounted fare environment of 2017 that would have aided in the comp this year. We talked at length during the July call about the new RM system performance during the summer. However, we are very encouraged by the return to previous performance as evidenced by the strong load factor results in September. Turning to the fourth quarter, we had talked about headwinds associated with the hurricanes and the Vegas shooting last year as we enter the quarter. But noticeable load factor gains from the RM system and a stronger bounce back for Florida bookings eased that headwind a bit. As we saw at the end of Q3, demand looks strong and I believe the fourth quarter will end up with the best year-over-year TRASM performance of 2018. Obviously, a contributor to the fourth quarter TRASM optimism is the ASM guidance at 4% to 6%. As we complete the last quarter of our aggressive MD-80 retirement and transition to a full Airbus fleet, the growth rate, particularly in December, will be limited as we are scheduled to retire the MD-80 fleet right after the Thanksgiving travel period. With that, I'd like to turn it over to questions.
Operator: Thank you. Our first question will come from the line of Savi Syth with Raymond James. Your line is now open.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good afternoon. Just a little bit of a broader question, not a specific guidance for 2019 but the kind of the growth over the last few years has been this kind of medium sized market, you may be smaller secondary leisure destinations. And what should we expect kind of the market characteristics to be going forward, especially in a higher fuel environment?
Drew Wells - Allegiant Travel Co.: Sure. So, as you look out towards 2019, I think what you'll see is some of that continuing. Primarily, the growth will be connecting the dots that exist today. There's a lot of destinations and origin cities including mid-sized cities that have yet to be connected. In addition, even in a rising fuel environment, we'll constantly be looking at new cities to grow the network. We communicated before one to two mid-sized cities a year, and I think that's still the target at least in the current fuel environment. If that rises, we'll certainly reconsider.
Savanthi N. Syth - Raymond James & Associates, Inc.: That's helpful. Thanks, Drew. And then, I don't know if Scott's around, but I'm just kind of curious, does maintenance – it looks like there were kind of a couple of – some maintenance events in 2018. Does that pull forward some from 2019? Should we expect somewhat below average maintenance next year or is that unlikely?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. Hey, Savi. Yeah. There's some kind of unique expenses in 3Q. Some of that directly relates to the MD-80 fleet in order to get that to the end of November. There were also some kind of fleet-wide campaigns, to kind of baseline certain aspects of the plane. For instance, we're going through specifically the APU bay and the build spec to try to normalize on a fleet basis that you're seeing some – we think some baseline expenses you wouldn't expect to continue. I think directionally, we look at kind of the $75,000 per aircraft per month kind of cadence as we move forward, and that's what we expect into 2019 and beyond.
Savanthi N. Syth - Raymond James & Associates, Inc.: So, not below, just kind of return to average?
D. Scott Sheldon - Allegiant Travel Co.: Yeah.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. Thank you.
Operator: Thank you. And our next question will come from the line of Duane Pfennigwerth with Evercore ISI. Your line is now open.
Duane Pfennigwerth - Evercore ISI: Hey. Thanks. Good afternoon. On the 4Q growth rate of 4% to 6%, can you just remind us, is there an impact from fleet delays? Was that a higher number at one point or have you accelerated MD-80 retirements?
Drew Wells - Allegiant Travel Co.: I guess, it depends on your initial reference point there. But once we made the decision to go with the more aggressive timeline through November, we've been reasonably well set at this growth rate. So there may have been a small amount of pullback especially as fuel ran up on us a little bit, but not a material downward trend.
Duane Pfennigwerth - Evercore ISI: Thanks. And then on the tax rate, what accounts for the lower or, I guess, implied negative tax rate in the third quarter specifically?
Gregory C. Anderson - Allegiant Travel Co.: Hey, Duane. This is Greg. So during the third quarter, we were able to take a refund on call it like Section 199 which is domestic production activities. And effectively, what that means is some of our internally developed software, we were able to take a refund on that. So that's primarily the reduction that you're seeing.
Duane Pfennigwerth - Evercore ISI: Does that impact sort of the normalized tax rate going forward? So I think your initial guidance this year was, what, 21%, 22%. Is that kind of how we should be thinking about it on a go-forward basis?
Gregory C. Anderson - Allegiant Travel Co.: I think first for the remainder of this year, I mean, you're going to see a reduction. So that year-to-date guidance was updated to 18% to 19%. But then as we move forward to in the following years, I think more of the what we initially guided, the 22% to 23% is probably the right tax rate moving forward.
Duane Pfennigwerth - Evercore ISI: Okay. And then just did some quick math on the new disclosure which I appreciate, I think that's great. Maybe you could just add some light on what all is in the nonairline business? I mean, I assume that's some Sunseeker OpEx but maybe some other things. It looks like it actually grew from about $3 million in the third quarter last year to almost $6 million in the third quarter of this year. So maybe just give us a sense for what's in there, why it's growing, et cetera. Thank you.
John T. Redmond - Allegiant Travel Co.: Yeah. No problem, Duane. When you look at all the entities that are currently in there, you mentioned Sunseeker, you have Teesnap, you have the Kingsway golf course that we acquired in August of this year. And you – let me see, what am I missing – oh, yeah, the FEC. So I was focused on the revenue components but there is no FEC revenue yet. So what you're seeing there is strictly Teesnap from a revenue standpoint, Teesnap and Kingsway. So going forward, we'll continue to provide as much detail as we've provided now. And as those entities individually get scale, we'll consider providing a greater amount of detail for each one of them.
Duane Pfennigwerth - Evercore ISI: Not to belabor the point, but Sunseeker OpEx, I mean how would you think about that on like a 2019 basis?
John T. Redmond - Allegiant Travel Co.: It's not going to be material and we're going to give you the complete guidance on that. The operating expenses that you would have, another way to look at that, I mean, the industry calls it preopening. These are expenses that relate to take like the two gentlemen that you may have met or at least were introduced to at the Investor Day, Micah and Jason. When you take those two individuals, for instance, some of their time that's spent on involved with the design of the project starts to change and starts to move into operation. So you may have their pay, in essence, capitalized early on. But as you get closer to an opening date, their pay is expensed as preopening. So, that's the nature of what you start to see or start to happen as early on when people are rotating from being capitalized to being expensed. That's the payroll side of it. Then, of course, you have all the hiring expenses and marketing expenses and all those that have to be expensed as you go as opposed to being capitalized. So, it's not going to be a substantial number and we'll give complete guidance on what we think that range is going to be for Sunseeker for FY 2019.
Duane Pfennigwerth - Evercore ISI: Thank you.
John T. Redmond - Allegiant Travel Co.: No problem.
Operator: Thank you. And our next question will come from the line of Helane Becker with Cowen. Your line is now open.
Helane Becker - Cowen & Co. LLC: Hello. Thanks very much, operator. Hi, everybody. Thank you for the time. Can you say what percentage of fuel recapture you've been able to do maybe year-to-date, or is that not a way we should look at your pricing structure?
Drew Wells - Allegiant Travel Co.: Yeah. So, as we commented before, we're not going to be able to recapture 100% of fuel simply through pricing. That's not how our customer reacts and it's not core to our business model. You will see us make some capacity trims particularly on the fringes with off-peak, day of week, and season to be able to really recapture in earnest. But one of the elements I would like to call out as part of the 4Q strength is the yield we're seeing. There are certainly some elements of fuel recapture that we're getting in there. So, I'm hesitant to put an exact percentage on there, but we are recapturing some through the pricing environment beyond what I would have expected maybe a month or two ago.
Helane Becker - Cowen & Co. LLC: Okay. So, I guess my follow-up is more like, there's a percentage of recapturing through ancillaries and a percentage through fare, right? So, I mean, could you – is it reasonable to look at those combined or based on the comments you just made, does that not even make sense?
Drew Wells - Allegiant Travel Co.: Yeah. So, ancillary tends to be very sticky. So, with high fuel, low fuel ancillary isn't going to move a ton, air where it will have to be recaptured and part of that comes through load factor obviously. So as we drive load factor and gather the total ancillary spend, that's where we'll get that benefit and that's easy – most easily done obviously with capacity cuts, as you have fewer seats to fill. Another point that maybe is worth talking about here is the fuel efficiency of the Airbus. If we were still in a fully MD-80 fleet, you would have seen us making more cuts to this point. By our analysis, we have somewhere between kind of $0.85 and $1 per gallon more efficient right now as we shifted into the Airbus aircraft, which is going to give us a bit more buffer and flexibility before we have to make these changes in earnest.
Helane Becker - Cowen & Co. LLC: Thanks for putting that out. That was very helpful. And thanks very much for answering my question.
Drew Wells - Allegiant Travel Co.: Thank you.
Operator: Thank you. And our next question will come from the line of Joseph DeNardi with Stifel. Your line is now open.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Yes. Thanks. Scott or Drew, I guess the dollar EPS range with two months left, can you just talk about maybe directionally which end of that you think you're more likely to hit at this point?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. So, honestly it's looking probably the mid to maybe slightly lower at this point, given what fuel is doing. Still think the cost execution given the year that we've had to undertake has been great. All the trends that we thought would be there and the pressure points that we need to drive through the business as we go into 2019 and 2020, were evident. So, I'm really happy with the pace, the operation continues to execute better than expected. So yeah, I mean, I would say the midpoint to slightly lower at this point.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Okay. And then maybe a question for Scott DeAngelo if he's on the call, if not, John can probably tackle it but I think you guys said at the investor presentation for Sunseeker that you've got about 350,000 itineraries into Punta Gorda. Just wondering if you could talk about how many of those are really up for grabs, not locked to Marriott or Hyatt within their loyalty programs, not second homeowners, customers that you can really try and convert into Sunseeker itineraries. Thank you.
Scott DeAngelo - Allegiant Travel Co.: You bet. This is Scott. I'll start. I can answer a part of that. So, by the time Sunseeker opens that 350,000 will be more like 400,000 and I would say right now that, conservatively speaking, assume that one out of every five is already affixed to a second home, and the other 4 out of 5 or 80% are up for grabs whether that they currently stay at a hotel, they currently rent a vacation property, and/or even involved in some flexible time share. Don't have information on who is tied with which loyalty program, but I'd offer up that it's been (00:18:55) our experience that too is more pliable than one would think as most of these customers have multiple memberships and loyalty programs. And we'll be happy to offer them ours once we have Sunseeker up.
John T. Redmond - Allegiant Travel Co.: Yeah, most definitely and we're actually on a trailing 12 basis, the number is closer to 365,000 inbound itineraries. And just to even show you how clean that number is Joe, we've stripped out any of those inbound itineraries that may even have a Florida address. So, some people have second homes in Florida. They may originate. They could look like a round tripper, but if they have a Florida address, we stripped it out. So, that may even make Scott's numbers a little bit stronger when you look at maybe it's greater than what that data point would actually show. But the 400,000 we're comfortable believing in that number when you look at 2020, given the trajectory of what's been happening with the inbound itineraries.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. And is an itinerary the same thing as one passenger? Are those interchangeable or...
John T. Redmond - Allegiant Travel Co.: No. If you, your significant other, and family members, the wife or someone books everyone on there, that's one itinerary. So, you can have anywhere from one to eight people on an itinerary.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Got it. Okay. Thank you.
Operator: Thank you. And our next question will come from the line of Michael Linenberg with Deutsche Bank. Your line is now open.
Michael Linenberg - Deutsche Bank Securities, Inc.: Hey. Good afternoon, everyone. Hey. I guess two questions here. So, John, you did say that it sounds like groundbreaking is going to start in February of 2019, and I think you also indicated that you'd give us a bit more detail in – on the – when the annual numbers come out, which I guess is going to be sometime in January. But kind of if we think about it at this point, some cash will go out the door for construction costs. Are we to assume that that's just coming out of internally generated funds or are you seeking like a construction loan, some sort of financing to kind of kick off that activity?
John T. Redmond - Allegiant Travel Co.: Michael, on those points – and I think my comments are consistent with what I've been saying in the past, but we will always look at and pursue potential financing sources. So, the fact that we have made commentary around being able to, as a company, to look at Sunseeker as we have the ability to fund that internally, that's true, that hasn't changed and that's of course given all the work done to-date and the strong performance we expect going forward. But we will continue to look at financing opportunities going forward. And if there's one we like, we'll be all over it.
Michael Linenberg - Deutsche Bank Securities, Inc.: Okay. Okay. Fair enough. And then my second question, either you, John or Drew, when we think about and I know it's a little early since we'll get the data in January but just kind of an early rough feel for 2019 capacity growth. The fact that accelerating out of the MD-80s that there – you may be coming off of a lower base as you ramp up into 2019. Should we assume that growth will be less than what we saw this year? Any color around 2019 capacity growth would be great. Thanks.
Drew Wells - Allegiant Travel Co.: Sure. Yeah, this is Drew. I think it's fair to say that we would expect next year to – hi. I think it's fair to say we expect 2019 to be lower than 2018. As you look out, we have our first quarter schedule out for sale right now. I think that's going to be on the lower end. So I would expect 2019 to surpass that. So we have some really, really wide goalpost there, you could probably work with those.
Michael Linenberg - Deutsche Bank Securities, Inc.: Very good. Thanks. I appreciate it.
Operator: Thank you. And our next question will come from the line of Brandon Oglenski with Barclays. Your line is now open.
Unknown Speaker: Hi. This is actually Matt (00:23:08) on for Brandon. So I was just hoping you could quickly remind us, as you receive the final aircraft and taking the MD-80s out of the fleet, what kind of overhang and pilot training or any other expenses is still kind of related and kind of lingering related to the transition?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. Hi. This is Scott. Yeah, if you look at the number of MD-80 shells, there will be some folks that will be going through training to be available for the March peak. And if you kind of back into any sort of pilot per aircraft metric back to when we had a single fleet type adjusted for the new 117 rules, you could come to a number where you're carrying $30 million to $35 million in excess labor as we grow into it over the next couple years. And so, it's pretty substantial. As far as the actual training events. Everything then is on a scheduled cadence because everyone will be trained on the same fleet type.
Unknown Speaker: Okay. And so, that kind of comes down through the next year or so or what's the timing on that?
D. Scott Sheldon - Allegiant Travel Co.: Yeah, so we bottom obviously at the end of the year. I think we have, in the release, 76 frames. And I think we're growing upwards of 12 frames to 13 frames next year. And so, you start to gain some of that efficiency back from a single fleet type perspective.
Unknown Speaker: Okay. Great. And then just kind of on that point, as you get more shells in the fleet, and then with the capability of having – utilizing kind of the newer aircraft a little bit more, should we assume that there could be more peak growth or more kind of optimization in the schedule potentially?
Drew Wells - Allegiant Travel Co.: Yeah. So, there's really two ways that we can grow the peak days. One is shell growth, so that will be the biggest help. Additionally with the improved economics on the Airbus we can push the hours of the day a little bit. So, I would expect to see kind of your fleet-wide utilization particularly on peak days grow a bit, which is consistent with how we operate the Airbus today. But once you kind of get the MD-80s out of there, you'll see a bit more in earnest.
Unknown Speaker: Okay. Great. Thank you.
Operator: Thank you. Our next question will come from the line of Dan McKenzie with Buckingham Research. Your line is now open.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Hey. Good afternoon. Thanks, guys. Got a few questions here. I did join the call late, so I didn't quite follow the IT changes but if I could just revert back to a prior Investor Day presentation, are you still on track to deliver the e-commerce benefits that you previously outlined in 2019 or are those likely perhaps to get pushed back?
John T. Redmond - Allegiant Travel Co.: No, it was – Dan, this is John Redmond. We had talked about in that Investor Day back in 2016, I believe it was, about these initiatives being done in 2020. So, the comments that we're making was that all of programming effort relating to the revenue initiatives will be done in 2019. So, we will see those benefits in 2020 as we communicated back then.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Got it. But it looks like there's a fairly big step up in 2019 from those benefits. I think $70 million was targeted. And so I guess that's sort of what I'm wondering is, if that step up is – gets pushed back to 2020.
John T. Redmond - Allegiant Travel Co.: We never provided any guidance on any of the years in between. So, we literally showed 2017 to 2020 without any middle years, if you will. Having said that, when we provide guidance on 2019, you'll see that some of the benefits will start to come through in 2019 on some of those initiatives.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Drew, I think related to this, it looks like third-party products inflected nicely in the third quarter relative to the first half of the year and even last year. And I'm just wondering what is it that you guys did differently in the third quarter and is that – how do we think about these initiatives as we look ahead into the fourth and next year?
Drew Wells - Allegiant Travel Co.: Sure, Dan. Really, the biggest winner we have on the third party is the credit card. It continues to exceed kind of all of our expectations both September of 2016 when we launched it up until recently. New account growth continues to churn along very nicely, and spend has become by far the biggest piece of that. So that really is a big credit card victory and I expect that to continue to expand into next year.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Good. One other question, if I can sneak one last one in here, the 186-seat project. What is the pace of the modifications currently? So what percent of the fleet was completed at the end of the – is going to be completed at the end of the fourth quarter versus, say, the third quarter? And what percent of the fleet do you expect to complete in 2019?
Gregory C. Anderson - Allegiant Travel Co.: Hey, Dan. This is Greg. We – so as we take delivery of the A320-series aircraft kind of going forward, we expect all of those to be modified to 186 seats. And also of course, the new aircraft will come delivered or have come delivered with 186 seats. So the way I would think about it from the A320 perspective as we mature the fleet, 25 will be under the 177 variant, and then the remaining will be the 186-seat variant.
Dan J. McKenzie - The Buckingham Research Group, Inc.: And that's for what period, sorry, that 25?
Gregory C. Anderson - Allegiant Travel Co.: I think that's through the end of 2020. Yeah, 2020.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. And are you, I guess, since you've got the majority of the fleet in that modification, I guess, presumably – safe to say those are seats that you're able to revenue manage or optimize that revenue at this point?
Drew Wells - Allegiant Travel Co.: Yeah. This is Drew again. We work very closely with the fleet team as we think about the layout and what we view the kind of the optimal to be. So we'll continue to review, but everything we look at so far suggests that 186 is the best for the revenue team.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Thanks for the time you guys.
Operator: Thank you. And our next question will come from the line of Steve O'Hara with Sidoti. Your line is now open.
Stephen O’Hara - Sidoti & Co. LLC: Hi. Good afternoon. Can you just – within the other revenue line, can you just remind me and it picked up in the third quarter. I guess I would have thought that would have come down, I thought that was due to some aircraft you had on lease that you'll eventually take delivery of. Can you just tell me what's going on there?
Drew Wells - Allegiant Travel Co.: Yes. So, one of the biggest drivers on that is really our Teesnap program which really exceeded I think our expectations from the beginning of the year. And to your point, we did think that other rev was going to come down more with some of the timing on the old planes. But Teesnap really filled in that gap nicely.
John T. Redmond - Allegiant Travel Co.: And the other tick up we had in there again beginning with August of this year would have been the Kingsway golf course. So both Kingsway and Teesnap are part of that other.
Stephen O’Hara - Sidoti & Co. LLC: Okay. And then maybe just on the fuel burn for next year. I mean, should – with MD-80s out at the end of November, I guess. I mean should the $87 per gallon kind of revert to $85 or so next year?
Drew Wells - Allegiant Travel Co.: Yes. It's definitely trending that way. I think if you look at the shells we're taking next year it's split. I think it's six or seven A319s and the rest A320s. Yes. So obviously the target continues to be $85.
Stephen O’Hara - Sidoti & Co. LLC: Okay. All right. Thank you.
Operator: Thank you. And our next question will come by Joseph DeNardi with Stifel. Your line is now open.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks for taking the follow-up. Scott, just on the CASM ex outlook over the next couple of years, is the baseline for 2019 that CASM ex is down or do the labor efficiencies that you get from kind of completing the fleet transition not really come in until 2020? How should we think about that?
D. Scott Sheldon - Allegiant Travel Co.: Yeah. So, the biggest impact we can have on ex-fuel is definitely the labor side. I think you'll start to see continued movement in the right direction next year with the lion's share into 2020. We continue to like – we continue to see really nice maintenance trends, the M&E expense line item continues to come in, although there's a little noise in the third quarter. None of that should be recurring in nature. So, the things – the areas that we identified and where we thought there was going to be pressure, they're there. But the good thing is, this is quite manageable. So, if we can bring on additional shells and we can maybe pull some of that efficiency to the left, but we do have long term efficiency targets. But flight crews being the lion's share of that is where we're going to see the biggest movement ex fuel. But you'll see movement into 2019 and then the biggest movement into 2020.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Should the expectation be that CASM ex is down in 2019 or should we temper those expectations?
D. Scott Sheldon - Allegiant Travel Co.: No. I think if you – since we've started the shell adjusted CASM ex for non-airline related expenses, you should see very nice moves in the core business. And so, that's the whole point, right, is the underlying core business continues to execute. We continue to see really positive trends in the right areas and in the areas where there might be a little problematic, that's where the focus is. So, no, we're liking what we see.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. And then, John, I think the strategy is to build a property, run it effectively, and then use that experience to go get some management contracts. What are those properties saying to you now if you approach them without a property? I guess I'm a little bit surprised that you can't use the experience you have with the airline to develop that hotel management business and some of these smaller properties without actually building your own?
John T. Redmond - Allegiant Travel Co.: Look, we haven't had a conversation directly to-date yet, so that's one. And when I say conversation directly to-date, I've had some, just some periphery type fringe conversations without getting into the nitty-gritty surrounding that. There's folks that are involved in looking at new development opportunities that I started to have some conversations with. So that could be something that's an opportunity. But I think when you look at managing these properties, part of what we want to offer is several solutions. We've mentioned everything from software to management to branding, et cetera, et cetera. So there's a lot of things that would be part of that package and the entirety of that package won't be ready for us to roll out until we're done with a lot of the IT efforts around the resort. So that puts a little bit of a governor on how quickly we can move even if there was significant opportunity. Having said that, there is stronger marketing relationships we can have with hotel properties that we include in our booking channel. And those are ones that we're intending to strengthen, as we change out the mix of properties that are in the booking channel. We've done because of the work we did in Florida around what we want to do there. We've done work in other markets and we know that in some cases we don't have all the right product that we need on that booking channel. So we're starting to make adjustments in that regard as well and then having conversations with the properties that remain to strengthen the financial opportunities with those remaining properties. So, I think there is some baby steps there along the way. There's no doubt. I would still hope that we could nail a couple of management contracts, if you will, before we open the property. But it's always easier to point to something that you have going. And that's why I think the opportunity for us is going to be after we start to go vertical. We can actually point to a project, point to a real project that's coming out of the ground, and then I think it's – it will be easier to make those things happen. The other thing is it's hard to have any visibility on to this, the length of those contracts that are in place at those properties. The one takeaway I would have is given how old a lot of the properties are, I would think that those contracts, they may have shorter tails to them than what you would typically find of course, if you only had product that was 5 years or 10 years old. So, keep our fingers crossed that opportunities happen quicker, but we will be chasing them down. So, I'm hoping over the next couple of quarters, I can give you a lot more visibility in that regard.
Joseph William DeNardi - Stifel, Nicolaus & Co., Inc.: Thank you.
John T. Redmond - Allegiant Travel Co.: You're welcome.
Operator: Thank you. And our next question will come from the line of Savi Syth with Raymond James. Your line is now open.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, I just had a quick follow-up. On the fleet – I'm sorry, I didn't quite understand. So what do you expect the fleet – I know you've had a few aircraft slip from this year to next year, what do you expect to end your 2019? Are you still like thinking of roughly at 100 aircrafts or what should we expect there?
Gregory C. Anderson - Allegiant Travel Co.: Yeah, I mean, that's what we put out there probably. I mean we've seen some delays as we talked about in the last earnings call. I think by 2019, I mean, we're still expecting that number, Savi. But in – when we give our guidance for 2019, there may be some puts and takes on that a little bit.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Dan McKenzie with Buckingham Research. Your line is now open. Dan, your line is now open, please proceed.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Thanks, operator, and thanks for the extra time here, guys. Drew, I'm just wondering if you could talk high level what you're seeing from the demand backdrop here. The stocks are incredibly volatile. I think there's a lot of worries about interest rates, the impact on the business, the stock market has been abnormally volatile here. But at least one thing that I've noticed tracking bookings is that there's not a lot of volatility in underlying demand. But I'm just wondering if you could talk about what you're seeing high level, what would worry you, what doesn't worry you from where you sit right now?
Drew Wells - Allegiant Travel Co.: Yeah. So, I think you hit it spot-on. I haven't seen a ton of volatility in terms of demand. We've seen a lot of strength for the last – at least the last couple of months now in terms of forward bookings. And so I don't – I really don't have a lot of concern about right now, particularly with fuel where it is. If fuel were to drop and spur even more capacity growth through the industry, I think you'll see a lot of issues in the off-peak periods, think late January. Even today, I think we're still industry-wide too heavy in capacity during those periods. And so, I anticipate we'll hear about that as we get into the April call timeframe.
Dan J. McKenzie - The Buckingham Research Group, Inc.: And then, I guess, Drew, while I've got you, one thing I've observed over this past year is the volume of seats that the legacy airlines are pricing at – there's a lot of inventory, pardon me, that the legacy airlines are pricing out ultra-low cost carrier levels has diminished. And I'm wondering if you've seen the same thing, because I know you don't compete directly with them, but there is some sort of relative umbrella that you can price under. And I'm just wondering if you can talk about sort of what you're seeing from that perspective, whether you feel like you're benefiting from that somewhat in the back half of the year, and just how that's evolved for you guys.
Drew Wells - Allegiant Travel Co.: Yeah. So I'll caveat this as what you talked about and that there is very little overlap. So from the same perspective that we weren't really affected when there were a lot of seats priced at the base economy rate. We're not going to see a ton of windfall from that either. On the few select routes where we might have that head-to-head competition, you might see something on the margin but it's not going to be anything noticeable or nothing that's worthy of calling out in my opinion.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Very good. Thanks for the extra time.
Drew Wells - Allegiant Travel Co.: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session for today. So now, it is my pleasure to hand the conference back over to Mr. Maury Gallagher for closing comments or remarks.
Maurice J. Gallagher, Jr. - Allegiant Travel Co.: Thank you, all, very much. Appreciate you're listening in. We'll see you in 90 days. Thank you.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody, have a wonderful day.